Operator: Ladies and gentlemen, thank you for standing by. Welcome to the TELA Bio Fourth Quarter Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference to speaker today, Greg Chodaczek from Gilmartin Group. Please go ahead sir.
Greg Chodaczek: Thank you, Victor, and good afternoon everyone. Earlier today, TELA Bio released financial results for the fourth quarter and year ended December 31, 2020. A copy of the press release is available on the company's website. Joining me on today's call are Tony Koblish, President and CEO; and Nora Brennan, CFO. Tony will begin the call by providing an overview of our operational highlights and then Nora will provide a detailed analysis of our fourth quarter and full-year financial performance. Before we begin, I'd like to remind you that during this conference call, the company will make projections and forward-looking statements regarding future events. We encourage you to review the company's past and future filings with the SEC, including without limitation, the company's Forms 10-K and 10-Q which identify the specific factors that may cause actual results or events to differ materially from those described in these forward-looking statements. These factors may include, without limitation, statements regarding product development, product potential, and the regulatory environment, sales and marketing strategies, capital resources, or operating performance. With that, I'll now turn the call over to Tony.
Antony Koblish: Thanks, Greg and good afternoon, everyone. We appreciate you taking the time to join us today. Before reviewing our operational highlights, I’d like to recognize our team’s hard work and dedication at TELA Bio despite the challenges and uncertainties of COVID-19, our company has made meaningful progress in all areas of our business over the past 12 months. In 2021, we plan to build on this momentum and continue to be a leader and innovator in developing tissue reinforcement materials for soft tissue reconstruction. Now turning to our results, total revenue for the fourth quarter was $5.7 million, representing growth of approximately 17% compared to the fourth quarter of 2019. Like many Medtech companies with product use and surgical procedures, we experienced both highs and lows in the fourth quarter. Throughout October and into November sales for our OviTex products were picking up and we were cautiously optimistic about reporting strong year-over-year growth. However, as the Holidays approached in the second half of the quarter, we experienced increased volatility in demand for our products as COVID cases and hospitalizations increased. This trend continued into January with some areas of the country being worse than others. Starting in early February and continuing through today, surgical procedure trends have improved. While we’re hopeful these trends will continue throughout the year forecasting COVID-19 cases and hospitalizations is a challenge and is best left to the experts. Before turning the call over to Nora, I’d like to talk about some of our accomplishments from 2020. Starting with our BRAVO study as a reminder, the BRAVO study is a multicenter prospective study designed to evaluate the clinical performance of OviTex for the treatment of ventral hernias, and 85% of the patients met the criteria for Ventral Hernia Working Group Grade 2 or Grade 3. Last week, we submitted our latest data set for publication, and the data continues to be very good, 76 of the 84 participants or 90% have completed their 12-months follow-up with only two having hernia recurrences, both of which occurred adjacent to the repair. In addition, 51 patients completed their 24-month follow-up and none experienced a new hernia recurrence. Of these 51 patients, only one experienced the surgical site occurrence between 12 and 24 months and this SSO did not require surgical intervention or implant removal. As we have noted in previous calls, the 24 months post procedure data are considered to be the goal standard and is vital in persuading surgeons to adopt OviTex. Based on the current BRAVO clinical trial data, the hernia recurrence rates for OviTex at 12 months is 2.6% and 0% for the 51 patients that are out at 24 months. These rates compare very favorably to results published for synthetics, resortable synthetics or biologics. Based on our latest estimates, which account for delays we’re experiencing scheduling follow-up and site visits for data verification, we expect to have validated data on our 24 month patients by the end of the year. In 2020, another area of success for us has been robotic hernia repair. Today, most robotic hernia repairs use plastic mesh due to its strength and the ability to roll it tightly to fit down at trocar. However, due to the unique properties of OviTex, we’re gaining market share with minimally invasive and robotic hernia procedures. For the fourth quarter, we estimate that approximately 50% of our usage came from MIS and robotic procedures, and we saw a 32% sequential increase in our LPR unit sales. This data point coincides nicely with our recently completed survey. Based on the data we compiled synthetic mesh products have been the subject of an increasing number of lawsuits with over 13,000 cases filed in the state of Rhode Island alone. As this number continues to grow, and make headlines, surgeon tell us that approximately 20% of their patients are concerned about the use of plastic mesh and would prefer something more natural could be used. Also nearly 60% of the surgeons we surveyed believe that synthetic mesh probably causes long-term risk of complications. We believe the migration from plastic mesh will continue and we’re hopeful that sales of OviTex will benefit as it resolves. Regarding the plastic and reconstructive market, we’re very pleased with the continued expansion of the PRS launch as we experienced record unit volume and dollar growth in the quarter. This is very encouraging giving the variability and access to supply chain administration for new products and technology. It is emerging that there's a real opportunity for a portfolio of PRS products that are tuned to different patient needs and surgeon technique preferences. This is a vastly different paradigm that what exists today with one material could ever scan for all situations. As we mentioned last year in response to the pandemic we developed TELA LIVE, our virtual marketing sales solution designed to educate surgeons about our product portfolio and clinical data. Since the start of these programs approximately 200 surgeons have participated and roughly a third have been plastic surgeons. Engagement with plastic surgeons remains high and many have told us they’re seeking advancements in plastic reconstruction, especially as it relates to Acellular dermal matrices or ADM. This data point is consistent with the up tick in the number of IDN and GPO requests we’re receiving for cross referencing our PRS portfolio. We continue to grow our commercial team, and at the end of 2020, we have 45 territories filled by 40 sales reps. Our goal is to have 48 reps in place by the middle of 2021 and we expect to continue to increase our number of reps through the remainder of the year. These sales reps will be filling our HealthTrust accounts, making sure that we have coverage in all of our major IDNs and GPOs. In the fourth quarter, we increased the number of hospital customers from 270 to 325, with the number of HealthTrust accounts also increasing. And finally, we believe physical access to hospitals is beginning to ease as our sales reps are seeing more requests to cover surgeries. We expect this trend to continue as more vaccines are rolled out. I’d now like to turn the call over now to Nora to review our fourth quarter and full-year financial summary.
Nora Brennan: Thanks, Tony and Hello, everyone. Please refer to our press release issued earlier today for a summary of our financial results for the fourth quarter and full-year 2020. After commenting on our financial results, I’ll also provide our financial guidance for 2021. Revenue for the fourth quarter of 2020 increased 17% year-over-year to $5.7 million. For the full-year 2020, revenue increased 18% to $18.2 million compared to 2019. The increase in both periods was due primarily to the expansion of our commercial organization that increased penetration within existing customer accounts. Gross profit as a percentage of revenue improved in both the fourth quarter and full-year periods compared to the respective prior-year periods due to longer shelf life on our products and inventory management for our OviTex products. Fourth quarter gross margins increased to 65% from 61% in the prior-year period, while full-year 2020 gross margins increased to 62% from 60%. Sales and marketing expenses were $6.4 million in the fourth quarter of 2020 compared to $5.4 million in the same period in 2019. For the full-year 2020, sales and marketing expenses were $22.1 million, compared to $18.1 million for the full-year 2019. The increase in both periods was due to the expansion of the commercial organization and related activities partially offset by lower travel and consulting expenses. G&A expenses were $2.9 million in the fourth quarter of 2020 compared to $2.5 million in the same period in 2019. For the full-year 2020, G&A expenses were $10.1 million compared to $6.2 million in 2019. The increase in both periods was due primarily to an increase in insurance premiums, personnel costs and professional fees. R&D expenses were $1.2 million in the fourth quarter of 2020 and $4.3 million for the full-year 2020. Fourth quarter 2020 R&D costs were slightly higher than the same period in 2019 based on personnel costs and additional testing fees. However, full-year 2020 R&D costs remain relatively flat compared to 2019. Loss from operations was $6.7 million in the fourth quarter of 2020 compared to $5.8 million in the prior-year period. For the full-year 2020, loss from operations was $25.3 million, compared to $19.2 million for 2019. Net loss was $7.8 million in the fourth quarter of 2020 compared to $6.5 million in the same period in 2019. For the full-year 2020, net loss was $28.8 million, compared to $22.4 million for 2019. We ended 2020 with $74.4 million in cash and cash equivalents compared to cash, cash equivalents and short-term investments of $54.6 million at year-end 2019. This increasing includes net proceeds of approximately $44.7 million from the company's public offering completed in June 2020. Now turning to the outlook for 2021. We expect total revenues to be in the range of $27 million to $30 million representing growth of 48% to 65% over 2020. We’re providing guidance today but recognize that the course of the pandemic remains uncertain and as a result, the rate of recovery in surgical procedures remains variable. In our full-year guidance, we assume a gradual improvement in procedures in the first half, with no further setbacks from new surges, or new COVID variants. We’ll continue to assess the current environment and provide updates on our quarterly calls as continued uncertainty relating to the dynamic environment with the COVID-19 pandemic could materially impact this projection. I'll now turn the call back over to Tony.
Antony Koblish: Thank you, Nora. I'm happy to announce we’ll be hosting a Virtual KOL Day on April 12, from 3 PM to 4:30 PM Eastern Time, this 90-minute Webinar will feature presentations from key opinion leaders, discussing the benefits of natural repair and soft tissue reconstruction, and how OviTex have shown superior outcomes for patients. These presentations will be followed by a question-and-answer session. A formal invitation will be sent out later this week. We hope you can join us. With that, Victor please open the call up for questions.
Operator: [Operator Instructions] Our first question will come from the line of Matthew O'Brien from Piper Sandler. Your line is open.
Matthew O'Brien: Good afternoon, thanks for taking the questions and just wanted to pass along my heartfelt condolences on the news that Maarten had passed away. I’m so sorry to hear that.
Antony Koblish: Thank you, Matt. We appreciate that.
Nora Brennan: Thanks Matt.
Matthew O'Brien: Yes, so turning to guidance. Nora, appreciate you providing some of that guidance today. It's about 20% lower than we had kind of been thinking heading into the year understanding there is some COVID impact. So can you just kind of deconstruct where we're expecting some softness here in the hernia side, on the plastic side and where things could potentially even provide a little bit of upside, as we start to exit this year?
Nora Brennan: Sure. So, thanks for the question, Matt. So I think as Tony mentioned in, when he was speaking before, we saw some softness coming out of December into January, and it held up a little bit through February. So we're starting to see a rebound certainly in the back half of February and into March. So, just to be a little bit more cautious around the guidance that's why we're guiding a little bit lower than where you head us. I think for us, it's really making sure that we get the rep count up. And as Tony mentioned, we ended the year with about 40 reps, but 45 territories, it's really making sure that we've got reps in the locations, and who have access to hospitals, and IDN. So I think with that, that's part of the conservative nature of the guidance that we're providing today. The other thing is, when we think about PRS, I mean we're still doing the launch, and we had some great growth in Q4 around our PRS and we expect that to continue. But it's still a new, it's a new product, we're still working with plastic surgeons to use it working with our clinical development team. So I think for us, it's just trying to be really conservative, not really sure when and how quickly we're going to be able to get into the hospitals throwing around with a lot of vaccines.
Antony Koblish: Yes, I'll add a little bit Matt as well, that's color to what Nora just said. For us, we're thinking about the transition zones between quarters right. So we go back to 2020. And we look at that transition zone between Q2 and Q3. The transition zone, there was tough, tough quarter in Q2, little bit of backlog in Q3. And then I'd say Q3 was really stabilization probably at a bit of a depressed level due to COVID. But certainly stabilization that lasted until around Thanksgiving, and then it got pretty volatile up and down. And that volatility seemed to have a more national impact, I'd say for the month of January, but then by February, we snapped back pretty good right back on plan, and then March is looking really strong. I think we have a very good shot at exceeding plans. So I like up to where we’re very much, Q4 sort of ended choppily whereas we're jumping from Q1 into that transition into Q2 super, super strong, right. We invested, we hired, we trained, we got great data, we did have everything firing on all cylinders. So that transition zone if it happens and we stabilize and get stronger in Q2, I think that represents some upside as we said in our notes. And as Nora indicated, we really forecasted around more of a Q2 to Q3 transition really with more chop in Q2. So I think there's some upside there. And certainly, we think there's just a lot of upside around our PRS business, and how that's starting to move forward. But again, it's new, we're not the incumbent, and we've got to overcome being the new guy on the block and getting the hospital administration moving. The other things that we're really cautiously optimistic about is the number of accounts that we put on, right, so the supply chain, there's two real problems that COVID causes, right. Problem one is surgeon and rep access, getting together servicing doing the cases. But problem two is really dealing with supply chain admin. And they come and go, they came back. And I think we had a backlog of new accounts come online in Q4, that really haven't started producing yet. And so those will start producing as COVID clears out. So yes, I think there's upside baked into what we're doing here. We just have to be realistic, and we had to pick our spot of when we think things are going to clean out and we chose a quarter later more like a second half clean up now.
Matthew O'Brien: Okay, okay. It makes total sense. So just sounds like you're being conservative and hoping that things kind of free-up as we get to the back half?
Antony Koblish: Yes, I mean I can tell you, our commercial team is bullish coming out of Q1. We just need to have things straightened out, at least with the way they were in Q3. If things straightened out, like they were in Q3, we have a lot of pent-up stuff that's getting ready to break loose. And we're feeling good about it. So that's the key.
Matthew O'Brien: Okay, helpful. And then just two more questions. I'll ask them both together, to be mindful of everybody's time. But just you know Tony, I think you have 200 surgeons on TELA LIVE. How many of those 140 come out last quarter? How many have converted over to using or studying or getting close to being able to use your product? Is it 50%, 80%, 90% and then Nora, what does cash burn look like this year if you're doing somewhere in that $27 million to $30 million of revenue? Thank you.
Antony Koblish: Yes, TELA LIVE has just been excellent for us. It's been a lifeblood, our mix is starting to get a little more heavy on the plastic surgeon side. And I think about a third of those surgeons have been on the plastic surgery side of the house, which is really, really good. We estimate that there has been about, I'd say 115% increase on average for the surgeons that go through the TELA LIVE program. Now keep in mind that we're targeting two types of surgeons, right, we have those that are fresh, brand new have never used the product, there's less of those, but we really have the bigger group are the surgeons that have done a little bit. They're intrigued, they like what they see. And this is a way to drive increased usage, but also perhaps to get their partners and get other surgeons engaged. So we're looking at that up tick as the key measure. And by any measure that 116% up tick in the next few months after TELA LIVE execution is a very good signal. And I do think that the TELA LIVE metric is also tied very closely to those 47 new accounts that we put on in Q4 and frankly, all of the new accounts, right, because it's the main mechanism that we have for getting surgeon buying. So I think it could be half of the TELA LIVE programs have not yet started contributing yet to this revenue base because of whatever's going on, on the ground. So there's a tremendous pent-up demand. And maybe another way of looking at this is if you look at our territories, we're estimating that about 40% of our accounts right now are operating below pre-COVID levels, right. So that means that we have pretty close to 60% of our accounts that are operating above pre-COVID levels, and that is all TELA LIVE and all the stuff that we're doing to adapt to the environment.
Matthew O'Brien: Got it. And Nora, just on the cash burn?
Nora Brennan: Yes, so I mean we burned about $7 million in Q4 and I think on a run rate basis, Matt we’ll burn through maybe $28 million to $30 million based on our revenue guidance. So we've done a lot of good things, certainly with expenses in 2020 and some of that stuff is going to stick with us.
Matthew O'Brien: Got it, thank you.
Nora Brennan: Thanks, Matt.
Operator: Thank you. Our next question comes from the line of Anthony Petrone from Jefferies. Your line is open.
Anthony Petrone: Thank you very much. And I'll second again, condolences on passing of Maarten and best wishes to his family and everyone and the team at TELA. So again, our condolences from myself, and from the broader team of Jefferies as well.
Antony Koblish: Yes, appreciate that.
Anthony Petrone: Yes, absolutely. Tony, maybe to just follow-up on the 60:40 statistics, you just gave maybe a little bit more color there, 40% are still pre-pandemic levels, 60% are at or above pre-Pandemic levels. Is there a way to just sort of splice that out a bit in the sense that are the 40% that are behind were those higher volume accounts? Or is it just a mix of?
Antony Koblish: Yes, so there's a couple of things going on there, right. So one factor is just a construction stage of where our Salesforce was when COVID hit, right. So we had just built out to six sales regions when COVID hit. So we had essentially one non-functional region in our grouping, because it was just getting built. When COVID hit, we had literally just hired the Regional Manager, and he didn't really have any reps. And we locked down hiring. So he was at a deficit, he's now building his territory up. And we expect great things from that territory in the next coming quarters, then one of our strong territories, pre-COVID was the Northeast, we were really strong in New York, and that really took a beating in the early stages of COVID, everybody clearly remembers that. And that territory has not come back to full speed. So in that grouping, there's a lot of the accounts that rests in those two regions. So, right now, we really have four of six regions that are fully built out, fully staffed and are executing well. But we're not far away from having all six regions come back. Now that said, everything is not perfect in those four regions, right. So when things got choppy and gritty at the end of last year, and in January, we saw localized territory shifting in terms of COVID impact, we saw Florida, Texas, California, but then we saw a rotation back where the Midwest started to take some hits in January. And a lot of those states are where we had some of our best territories and highest producing Account Managers. So it's almost a little bit of whack a mole that is been going around the country as these COVID swings unroll. But really for us, the core of it is that architecture of the two regions that got the most impacted by COVID. So we have not yet seen the benefit of all six regions firing and I think we're going to start to see it Q2, Q3 as common. The optimism and bullishness within our commercial team is really, really excellent and good to see right now.
Anthony Petrone: That's very helpful as a backdrop. And the two follow-ups for me real quick, and I'll hop back in. One would be an update on hernia mesh lawsuits. And I know last year Bard and FCON were supposed to have, I guess the commencement of MDL suits on synthetic mesh. And I believe that's been pushed out. So any update there would be helpful. And as you look now at Phasix and Strattice being sort of embedded, you have more BRAVO data out there, we're presumably going to get some ruling on litigation that I believe would be negative headline for the competitors. And so how do you think the conversation this year is going to feel with your sales force and talking to physicians about making finally making that switch feel better?
Antony Koblish: Yes, it already feels better, right. So you’re correct, the litigation, the lawsuits were probably re-flated to kick-off around summer of last year. Right now, our latest information is that the main bolus of suits in Rhode Island may be starting in the next month or so. So we're getting closer. And I think that that is already having an impact in terms of swinging the conversation more to natural repair right, we did a little survey work that we've talked about in the past, where even before the litigation becomes very public, 20% of patients are acutely aware and would love to have something different than plastic mesh and a good percentage, 60% of the surgeons are now starting to think deeply about, well are there potential long-term complications and I have to think about and listen to what my patients are asking those questions. And so I think, the environment has never been better. You mentioned two competitors there, I think one competitor, the Strattice product is a very expensive product. It's not really designed, tuned to be used robotically. The price is not right, the handling is not right for a lot of these simple procedures, such as inguinal, hiatal and simple ventrals and robotics. Phasix on the other hand is, it is tuned for a wide array of procedures. And it's priced just a little bit more than our product. So we're in the ballpark with them. So I think a likely and hopeful outcome would be that OviTex and Phasix can sort of become the duo that replaces Phasix and Strattice what they were right, as this shift slowly starts to come online, and we would take that all day, that would be spectacular for us. So I think the dialog is happening, the market research data seems to be showing the right trends. And we're very well positioned. And what's interesting is if you look at the IQVIA data, and you look at sort of Bard as their own control, we definitely see growth and shift towards Phasix at the expense of their wide, wide array of polypropylene permanent mesh products. So, I think that to me is pretty good evidence that there's a lot of interest in natural repair products.
Anthony Petrone: Very helpful. Thank you so much.
Operator: Our next question comes from the line of Kyle Rose from Canaccord. You may begin.
Kyle Rose: Great, thank you for taking the questions. And I echo the condolences on our end as well. Wanted to just get a little more insight around maybe some of the underlying productivity that you're seeing. I appreciate the account gains, it’s obviously impressive given the backdrop of the pandemic, but maybe help us understand how much of those account gains are utilizing both products or both families of products versus maybe just OviTex or just PRS alone. And then maybe just help frame out a little bit more. You talked about the idea of more than 40 accounts in the Q4, those really haven't contributed yet. How should we think about what that utilization looks like? So the run rate you're entering ’21 assuming COVID is behind us?
Antony Koblish: Yes, so I'm going to add again another variable, just to stack up on the proof source that we have, that we're exceptionally well positioned. We did all the right things in 2020, right. We brought on 21 new reps, right in the pandemic and those reps have already contributed about 20% to the revenue. So, we've proven that we can attract the right talent that has the right relationships, so they can function in the pandemic, first of all and then we've invested mightily in the training and education, it's just constant, right, we're going to use this downtime to make them better and better. And then the virtual, the last piece of the pipe to the sale is definitely that surgeon, that hospital process and our TELA LIVE stuff has worked exceptionally well. So I think that's yet another variable that's on top of but definitely contributes I think to that 60% figure of accounts being better than pre-COVID, right. And it all comes down to all of that stuff, that was going on in the middle of that. So I don't know if that answers the question. Or if you need a little bit more help?
Nora Brennan: Hey Kyle, I can just jump in a little bit too as well as Kyle, I think what we saw in Q4, about 25% of the new accounts were just PRS and then the remaining is hernia, but overall, we have the overlap of about 15%. We're signing up for both PRS and hernia. So, as we get into 2021, the expectation is we'll see more accounts, coming on board with both OviTex, signing up for both OviTex and PRS products. And we certainly see that seeing that within our HealthTrust accounts.
Antony Koblish: Yes, thank you for covering that, Nora. Thank you.
Kyle Rose: Okay, that's great. That's very helpful. And then when we think about the core [indiscernible] business, maybe obviously, the trends within LPR robotics are very encouraging. Maybe could you just help us understand that what type of hernia cases are you seeing be prioritized versus maybe some that are building up from a backlog perspective, just try to understand the mix of the type of cases we're going to see in 2021. And then kind of how that's impacting pricing, because I knew some of the smaller meshes on the LPR side do come at a different ASPs, so maybe tell of the hernia business?
Antony Koblish: Yes, that's very true. Our units are up more than our dollars right now in hernia, which I think is ultimately a good thing in the sense that it demonstrates the utility of the product across all hernia types of procedures, right and particularly MIS and robotics. So there may be a higher baseline volume, that's driven by the LPR, LPR is contributing more and more to the portfolio, but at the end of the day, the mix has been fairly consistent. As I'm looking at the data here, across the quarters roughly 50% open, roughly 50% robotic and lap seems to be fairly consistent. And our ventral business is still the bread and butter business, right, that that business is the mainstay compared to inguinal and hiatal and even the simple ventrals which are more robotic in nature. But, I think about 50% is in that MIS category, which is probably simple ventrals on down. So, I think we're going to continue to see that. And then I think the large sizes, I think we expect the large sizes which really is a proxy for the complex ventrals and AB walls, those are going to tick up as the year goes forward, because those are emergence. And as those get delayed, we see backlogs of those coming out. And I expect that there'll be a bolus of those coming at wherever the transition point is right, that I spoke up earlier, whether it's Q1 to Q2 or Q2 to Q3, there's going to be these emerging complex cases that just pick-up steam. So I think we're going to see those start to come out as well.
Kyle Rose: Great, and then I've just got two last questions that I’ll sneak in together. The first one is just the overall competitive response you've seen in the market. I mean, obviously, you now have 12 month data, more than 50 patients that came out last week. So what kind of counter selling are you seeing from other players? And then maybe just overall talk about the penetration into HealthTrust from an account base. You've talked about higher accounts but maybe just help us understand where you’re at in HealthTrust penetration? Thank you.
Antony Koblish: Yes, so competition, right. So, the competitive response evolves right as we gain success, when we first came out the competitive response was fairly simple. They're not on contract, kick them out. And they have no clinical data. Sure, their primary data is interesting but clinical data, right. So we've largely solved those two counter details, counter punches, right, we've got excellent clinical data emerging of course, we need more, and we’re collecting more in terms of retrospective series, et cetera. And we need to finish off BRAVO 1, to have the full complement of data at two years. But you can see that the BRAVO data looks just spectacular relative to competitive products, and BRAVO 2, which will be robot specific studies needs to get going as well. That's been delayed due to COVID. But we have some interesting ideas on how to jumpstart robotic datasets there. So, we've shifted now to a point where clinical data and contracting are in place. So interestingly enough, we're just seeing usual Medtech hand to hand combat kind of tactics, right. I mean, there's been a rash lately of what I’ll call little ticky-tack studies, you know like put a piece of plastic in a pouch and infect it with bacteria and compare it to OviTex. And, if the bacteria eats the biologic material, it must be bad. Well, that means nothing clinically, right? It’s sort of like a rig test. And we've seen little ticky tack trials like that, using enzymes and things like that. So, it's good, it's healthy, we have the answers to every one of those little preclinical studies that they're throwing at us because we feel super confident in the product set, clinical data is awesome. It's very consistent, not just with BRAVO, but with the rest of our clinical data. We have about 500 patients aggregated in various studies, from everything from robotics to inguinal to complex mental, and we even have some surgeons that have done 100% conversions. One of the guys that's going to be speaking at the KOL event, I think he might have 500 procedures under his belt, just on his own. So, there's just a drumbeat methodical, steady, disciplined and that's just the way we're going to do it, right. So sure, the flack will come at us. Right now, I wouldn't consider the flack to be anything out of the normal that I've experienced in my career, hand to hand combat in the field in the LR with surgeons.
Nora Brennan: And I think the other question was around the HealthTrust accounts. I'll just say, I was just going to say Kyle, so at Q4 about a third of our accounts were HealthTrust accounts generated about a third of our revenue. So we saw about 12% increase in our Q4 numbers for our HealthTrust accounts. So we're going to continue to penetrate in the areas where there's real opportunity, it's getting some more of those HealthTrust accounts signed up. And I think that's a real opportunity for us certainly coming into 2021.
Antony Koblish: Absolutely. Yes, I’ll throw a couple numbers, actually to Kyle, we had about 60 some odd HealthTrust accounts at the start at 2020. And I think we ended the year in the 90s. And that’s with a big chunk of the year being shut down to new products. So, HealthTrust like I said methodical, slow, steady, as they open up we're ready, we have the reps, we made the investments, so we feel like we're in good shape there.
Kyle Rose: Great, thank you for taking the questions.
Nora Brennan: Thanks, Kyle.
Operator: Thank you. Our last question will be from the line of Dave Turkaly from JMP Securities. You may begin.
David Turkaly: I reiterate the condolences. What a great guy. Tony, I know you talked about hernia volumes, and thank you for the color on the monthly progression of 4Q and 1Q being down something like 40% or 30% something to that magnitude, maybe at the end of last year. And obviously we can look at some of the comments you made about how the first quarter progress. But where does that stand today? And sort of what is underlying your guidance in terms of how those procedures grow? Is it back to sort of a normal cadence I would imagine, might even get a little bit of an up tick from some of the re-scheduling?
Antony Koblish: Yes, I think that's right. Like I said on my other comments, if we could just get the volatility stabilized, similar to the way it was in Q4, if we could get them sorry Q3 of last year, if we could get that back in place starting in Q2, that's where I think it gives us that clean air to get all six regions crank and get those 47 new accounts moving. All of those metrics that I've been talking about that can spring load this thing. We're just trying to pick our spot Dave, like I mean it made no sense for us to build the forecasts for the guidance around a Q2 start. I mean, I'm hopeful, I think it can happen. But we built it really around the Q3 start, right. So that's where it all is, it's in that time, in that time zone, it's the three months delta basically was sort of our planning strategy. But, like I said, I've never seen our commercial team as optimistic, and as bullish, and that includes PRS, right, PRS even though it's a newer product, and it's very highly dependent on supply chain, it's a really attractive set of products, from a pricing perspective, and from a technology perspective, and it's running higher as a percent of revenue, for sure, it's coming in closer to 20, 20 plus percent, compared to 10%, 15%. And I think that's going to grow as well. So, as a newer product, we don't have sort of an exact calibration on that pace. But that's an overlay onto all of the great territory metrics, new rep metrics, new account metrics, we're feeding that great new product set into all of that as well. So it's not just the hernia story for 2021, I think it has been up till now, for the most part, but I think the story is going to shift and we're going to have two meaningful products here in the next couple of quarters to start talking about here, Dave.
David Turkaly: I appreciate that. And you always talked about, you guys have the potential to be sort of 100% plus growth company. And if I look at your midpoint guidance over 2019, you're sitting right around 84%, 85%. So I don't feel like you're far off. But I guess, as we look at that in 2021, obviously understanding PRS is new and thanks for the color on the mix right there. But I imagine it grows faster, but any color, you might want to give in terms of hernia versus PRS in terms of how you get up to that number?
Antony Koblish: Yes, I think schematically, right let's assume we can crack the supply chain access through COVID. Let's assume that that cleans up in Q2, right, that's going to help PRS tremendously, if you just look at the two procedures, right there hernia stuff and the PRS procedures, hernia is definitely more impacted. It's more delayable and a lot of the volume of those procedures are more elective and delayable than the PRS procedures, right. So, our feeling right now having been through these ups and downs and COVID cycles is that hernia get hit harder. So the fact that we're able to grow our volume into the simpler cases in that period, I think is a great sign. We already talked about the complex, big procedures. Those are going to come roaring back and we're well situated for those. So then it's really PRS, which I think is going to be governed more on our ability to get access into the supply chain admin to get the new product started. I think the plastic surgeons, they have a bit more power in the system to get what they want. The cost savings around our PRS offering are substantial and very attractive to hospitals in this environment. And all of that is going to play into our ability to get that product moving. And the fact that the procedure volumes are probably more stable through the ups and downs of COVID. So, I would not be surprised if we saw a little bit more of a weight on the growth, at least as we’re in the early stages of transitioning out of COVID onto the PRS a bit as we figure out and crack the code on supply chain admin. And then, we'll start to see the hernia, I think be very much hardwired to the recovery, to COVID recovery, and that'll come back nicely as well, too.
David Turkaly: Thank you.
Operator: Thank you. And I'm not showing any further questions in the queue. I’d like to turn the call back over to the speakers for any closing remarks.
Antony Koblish: All right. Thanks, Victor. So, I want to thank everyone again for your time this afternoon and for your interest in TELA Bio. Before concluding the call, I'd like to spend a moment remembering TELA’s Co-Founder and Chief Medical Officer Maarten Persenaire who passed away unexpectedly on March 7th. I had the privilege to work with Maarten for many years and many of you have known him for many years as well at Orthovita and here at TELA Bio and I can honestly say that TELA Bio would not exist without Maarten. He was the Co-Founder, he put his money where his mouth was, he was an investor in the company from the beginning, like most of us here were. And he cared tremendously about patients, he, I share an office with him. And he's on the phone every day with surgeons, discussing their outcomes and patients. And he also cared about the healthcare system. Maarten wanted nothing to do with starting a company that improve patients lives, and decreased the total cost of care to the system. And he really had tremendous pride in our company, and he works tirelessly to deliver clinical data, which we're going to benefit from for a long time, the whole BRAVO system is, he's the architect of that. So, we're going to miss him tremendously. He's got a wonderful family, kids, wife, all of that. And our thoughts go out to this family, and all of us at TELA Bio will forever be grateful to Maarten and we’ll continue to work to honor and build upon his legacy. The entire company is motivated to deliver and to deliver big results for him, for his family, and for everyone involved. So, thanks. That's the end of my discussion.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for participating. You may now disconnect.